Operator: Greetings, and welcome to the voxeljet’s Second Quarter Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce Mr. Anthony Gerstein, voxeljet’s Director of Investor Relations. Thank you. You may begin.
Anthony Gerstein: Thank you, operator, and good morning, everyone. With me on the call today are Ingo Ederer; voxeljet’s Chief Executive Officer; and Rudi Franz, voxeljet’s Chief Financial Officer. Yesterday after the market closed, voxeljet issued a press release announcing its second quarter financial results for the period ended June 30, 2014. The release as well as the accompanying presentation for this conference call is available in the Investor Relations section of the company’s website at voxeljet.com. During our call, we may make certain forward-looking statements about the company’s performance. Such forward-looking statements are not guarantees of future performance, and therefore one should not place undue reliance upon them. Forward-looking statements are also subject to inherent risks and uncertainties that could cause actual results to differ materially from those expressed. For additional information concerning factors that could cause actual results to differ from those discussed on our forward-looking statements, you should refer to the cautionary statements contained in our press release, as well as the Risk Factors contained in the company’s filings with the Securities and Exchange Commission. With that, I would like now to turn the call over to Ingo Ederer, Chief Executive Officer of voxeljet. Ingo?
Ingo Ederer: Thank you, Anthony, and good morning, everyone. Thank you for joining us on the call today. I am going to start by giving you a brief overview of our results, followed by a discussion of the highlights for the quarter. I will then update you on the stages of several of our strategic initiatives and our growth strategy. As usual, Rudi will provide a more detailed review of our financial results for the period and also discuss our guidance for the full-year 2014, which we are reaffirming. We will then open the call up for your questions. So overall, I am very pleased with the progress we are making. We achieved several milestones in the quarter, and the outlook for 3D printing for industrial and commercial applications continues to be very positive. As a result, we are experiencing significant increases in coating and sales activity in both of our business lines and we are very excited about prospects for our company. Turning now to Page 4 of the slide presentation. For the quarter, total revenues increased 31% to EUR 2.7 million, compared to EUR 2.1 million last year. Systems revenues increased to EUR 1.2 million from EUR 0.8 million, as we sold two new 3D printers in this year’s quarter, compared to one new printer the last year’s quarter. Services revenues increased 20% in the second quarter to EUR 1.5 million from EUR 1.2 million, primarily as increased capacity at our expanded European service center, which was completed in April. We also benefited for a favorable product mix in the quarter, in which we generated record sales in plastics, PMMA, and received record orders for sand parts. This trend shows the market’s growing acceptance of 3D printing for production purposes, and thereby, validates both our [Technical Difficulty] within the industry. Gross profit and gross margins in the quarter were EUR 0.9 million and 31.5% respectively, compared to EUR 0.6 million and 28.7% in the last year’s quarter. The gross margin for our Systems segment increased to 23.8% in the second quarter of 2014 from 21.4% in the prior year quarter. The margin in this year’s quarter was affected by higher segment headcount costs, as we hired additional employees to support our growth strategy. For the sectors, we have nearly doubled the number of people working in our Systems department, compared to the same period last year. And we continue to grow adding more employees here since the first quarter. The segment margin will improve as we start to leverage the business through increased Systems sales. Gross margin for our Services segment increased to 37.8% from 33.6% in the second quarter of 2013, mostly because of the favorable product mix which we already discussed, and increased capacity. Turning now to please Slide 5 and I’m wrapping some of the quarterly highlights. First, we completed the relocation of our service center in early April at approximately 40,000 square feet, the facility is more than twice the size of our prior facility, and we are currently operating 10 3D printers for Services, including two VX4000, the largest 3D printers in the industry. As we have stated in the past, we are making progress toward increasing our printing capacity this year in Germany, by approximately 50% compared to the last year, and we should see greater benefits in the second half of the year. Moving on now to our U.S. facility near Detroit. As approximately 50,000 square feet, the facility will initially support four large format printers, two sand printers and two plastic printers by the end of this calendar year. We expect to be using on-demand parts by the end of September or early October. We have released a lot of interest from customers and we will start to see revenue contributions in the fourth quarter. With four printers operating, we expect the facility to initially have approximately 30% of the printing capacity of the German service center. And we expect to have [Technical Difficulty] capacity there by the end of 2016. In June [Technical Difficulty] David as General manager of our U.S. service center. David brings extensive manufacturing experience to voxeljet and has the responsibility including our U.S. team, as well as sales and marketing of our printers and Services business in the United States and Canada. He knows our end markets and the company to expect to eventually have customers. So we are excited to have him into our team [ph]. Finally, on April 16 we completed a follow-on offering where the company offered 3 million American Depository Shares ADS, and received net primary proceeds of approximately US$41 million or EUR 30 million from this offering. We believe that our strong balance sheet positions us well for long-term, and we see numerous opportunities to use our cash to advance and accelerate our growth strategy. Turning now to Slide 6, this provides an overview of our strategic initiatives, which will drive our long-term growth strategy. As you will remember, there are three primary strategic drivers. The first is to establish more large scale service centers across the globe. We are doing this with the opening of our first U.S. facility in the third quarter, and we have identified several additional markets and geographies we wish to establish facilities in the near future, and we will share this information with you in the coming months. The second driver is our focus on continued innovation and advancement of technology through ongoing research and development. We are currently seeking extensively about this and the past, but we are currently in varying stages of developing new mature sales including various casting materials, plastics, ceramics and from [indiscernible] wood powder and cement. This is extremely important to our growth and the opportunities that we create. For example, in organics we are seeing rate improvement in quality and leading a lot of positive feedback for metal casting benchmarks. Furthermore, we found other interesting applications for our inorganic material [Technical Difficulty] for concrete casting. And those forces our inorganic patterns sustain other treatments and can be washed out with water after those leaving hollow and light based structures. This means we are not only addressing metal concrete but also concrete castings and also...
Rudi Franz: Operator?
Operator: Yes, I am here sir.
Rudi Franz: I think we lost Ingo.
Operator: Let me check his line. He is still connected on my end. Just one moment please.
Ingo Ederer: Thank you.
Operator: You are now reconnected.
Ingo Ederer: Hello.
Rudi Franz: Yes, please go ahead.
Ingo Ederer: Sorry for the interruption. So I am back again. I’ll repeat the last phrase. So in those processes – we’re speaking about inorganic, in those processes our inorganic patterns sustain other treatment and can be washed out water afterwards leaving hollow and light based structures. This means we are not only addressing metal concretes but other concrete castings and as well composite manufacturers. In all these areas, we see highly complex parts, low manufacturing quantities, which means these are perfect markets for our production printers. The third driver to our business is to expand our sales and marketing presence, which we believe will increase our market penetration and facilitate the adoption of our technology. Finally, one topic we have discussed in the past as more generally is our intention to do acquisitions that complement and add value to our business. We’re definitely seeing an increase in deal opportunities since our IPO, as we believe we are well positioned to execute the transactions. We have the right team and positions in place to execute the transaction. That brings me to the end of my part of the presentation. I will now turn the call over to the Rudi. Rudi?
Rudi Franz: Thank you, Ingo. Good morning everyone. I’ll now take you through the financials. Please turn to Slide 8. Our total revenues increased 31% to EUR 2.7 million in Q2 2014, compared to EUR 2.1 million in 2013. We experienced growth in both of our business segments. Gross profit and gross margin for the second quarter of 2014 were EUR 0.9 million and 3.5% respectively, compared to EUR 0.6 million and 28.7% in the second quarter of 2013. The next slide which is 9, we show our segment reporting for the quarter. Our Systems revenue increased 46% to EUR 1.2 million from EUR 0.8 million as the company sold a total of two new 3D printers in the second quarter of 2014, compared to one new printer in the second quarter of 2013. Systems revenues represent approximately 45% of total revenues in the second quarter of 2014, compared to 40% in the same quarter in 2013. Gross profit and gross margin for our Systems segment in the quarter was EUR 0.3 million and 24% respectively, compared to EUR 0.2 million and 21% in the last year’s same period. Despite the increase this quarter, the margin was negatively impacted by increased headcount costs, as we pursue our growth strategy. The margin will definitely improve as we begin to see increase segment revenue and leverage the business. As the business continued to grow over the coming quarters, we expect gross margins of Systems segment to be in the range of 40% to 45%, consistent with the outlook we have given in the past. Service revenues increased 20% to EUR 1.5 million compared to EUR 1.2 million in the second quarter of 2013, primarily due to increased capacity from additional printers in our expanded European service center and a favorable product mix. Gross profit for our Service segment increased to EUR 0.6 million from EUR 0.4 million in the second quarter of 2013, while gross margin increased to 37.8% from 33.6% in the last year’s quarter. The increase in gross margin was again primarily related to product mix, partially offset by costs related to higher segment headcounts, as well as the impact of our long-term cash incentive plan. Services gross margins affected by the sales mix and volumes costs 20% are generally less profitable than parts blended with plastic or PMMA. We expect Services gross margin to remain in the range of 40% to 45% in the near-term. As Ingo noted earlier, demand for on-demand cost Services remained super and we expect to see continued growth in Service revenues in the second half of this year as we ramp up our capacity in our new German facility and simultaneously start production at our U.S. facility near Detroit, Michigan, which we expect to be operational by the end of the third quarter. The first service revenue contribution from the U.S. facility will be in the fourth quarter. Looking now to the rest of the income statement on Slide 10. Selling expenses were EUR 0.8 million, compared to EUR 0.5 million in the last year’s second quarter, an increase of more than EUR 0.3 million as to supported increased level of demand for both our businesses. Selling expenses associated with the long-term cash incentive plan was EUR 35,000. Administrative expenses were EUR 1 million compared to EUR 0.3 million in last year’s same quarter. This increase was primarily due to increased headcount related to the pursuit of our growth strategy and costs associated with being a public-traded company. Administrative expenses associated with the long-term cash incentive plan were EUR 18,000. Research and development expenses increased to EUR 0.8 million from EUR 0.5 million in the prior year period, as we continued to support a number of active projects in various stages of development. R&D expenses associated with the long-term cash incentive plan were EUR 48,000. Operating loss was EUR 1.4 million in the second quarter of 2014, compared to EUR 0.6 million in the prior year period. Loss for the second quarter of 2014 was EUR 1.4 million or EUR 0.38 per share as compared to a loss of EUR 0.5 million or EUR 0.24 per share in the prior year’s quarter. We have provided the same presentation for the six months period ended June 30, 2014 on Slide 11 through 13. We’re now going to go to Slide 14, which shows our equivalent balance sheet. At June 30, 2014 the company had cash and cash equivalence of approximately EUR 22 million in short-term investments held in two bond funds of roughly EUR 35 million. The total debt was approximately EUR 4 million, and weighted average shares outstanding for the period was EUR 3.7 million, which equates to 80.5 million ADS. As Ingo mentioned earlier, we completed our follow-on offering where the company sold 3 million ADS on April 16, which generated proceeds to the company of approximately US$41 million or EUR 30 million, further strengthening our balance sheet. We believe that our balance sheet positions us well for the long-term. We now move onto Slide 15 and our outlook for the year. With respect to guidance, we’re reaffirming our revenue expectations for the year ending December 31, 2014 to exceed EUR 18 million, which would continue growth of more than 50%. We expect gross margins to be in the range of 40% to 45%. We expect the majority of our revenue growth to come from increased Systems sales. Our total backlog of 3D printer orders at June 30, 2014 was EUR 4.3 million, representing eight 3D printers. This compares to backlog at December 31, 2013 of EUR 2.3 million, representing four 3D printers. As production and delivery of our printers is generally not characterized by long lead times, backlog is more dependent on the timing of customers requested deliveries. We estimate that majority of System in our backlog at June 30, 2014 which should prior to December 31, 2014. The increase in Service revenues is expected to be more heavily weighted towards the second half of the year as increased production capacity Friedberg, Germany and Canton, Michigan. We’re finally turning now to Slide 16. We are reiterating our long-term target operating model. We believe that we can continue to grow our revenues in excess of 50% over next several years, with gross margins in the range of 45% to 50%. Our long-term EBITDA and EBIT margin targets remain between 25% and 30% and 10% to 15% respectively. We believe that our continued robust investment in R&D is the biggest factor that will help us to achieve these operating margins. We feel that we have leading technology in the market and we will continue to invest accordingly to maintain our position. This concludes my formal remarks. With that, we will now open the call for your questions. Thank you.
Operator: Thank you. (Operator Instructions) Our first question comes from Troy Jensen with Piper Jaffray. Please proceed with your question.
Troy Jensen – Piper Jaffray: Hi, good afternoon gentlemen. Thanks for taking my question here. Curious on the pipeline here. You got eight systems in backlog. Could you give us any color on the traction you’re getting with the continuous platform or the VXC800, or some of those systems?
Ingo Ederer: In the background there is two continuous printers. I think the general acceptance of this product is very well. Interestingly, we see industries with demand for production printers coming towards this product, and I think there is a nice outlook for this product will accelerate and probably after the next year’s GIFA, which is a major casting show, we will see a tremendous increase in orders for this system.
Troy Jensen – Piper Jaffray: Okay. And Ingo, well I get you. You guys highlighted on your slides well positioned for acquisitions. Can you highlight the areas of importance for you, do you think you would acquire first in materials, new system technologies or service?
Ingo Ederer: Well, this is a very good question. Thank you for that. It’s of course clear that we have a very nice technology. So I think technology-wise there is, for the moment, no need for us to acquire to new things. We see potential targets in different areas where we have specific markets which we are not addressing here, and or it could be the case that we are looking at the service providers in specific markets where we want to go in and we could either choose to establish own facility or new facility or go through and acquisition. I think these are, let’s say, the main two drivers for that kind of business.
Troy Jensen – Piper Jaffray: Okay, perfect. And then Rudi, you’re half way through the third quarter here. And I was wondering if you could just kind of help us out with the second half ramp to get the EUR 18 million that you got into – you already kind of touched on the service ramp being more in the fourth quarter just because of the new capacity, but help us out with on the product side. Do you expect a big pick up here in the third quarter for systems sales, or is it going to be all kind of heavily weighted into the fourth quarter?
Rudi Franz: We are very comfortable with the guidance we gave. Our Services business is delivering what we expect. The drivers are Germany expansion, Detroit contributed revenues in Q4. On the Systems business, we obviously depend on timing of sale, which as you know sometimes can fall outside in the quarter, but that said, we are pleased with the growth and backlog and our lead list in very robust. By today, we have 10 printers in our backlog. And as said in the earnings call, we believe that most of them will be shipped by end of this year. So as said, our backlog today is higher than at June 30 at approximately EUR 5.3 million. We believe we’re good positioned and therefore we and the team are very comfortable with the guidance we gave.
Troy Jensen – Piper Jaffray: Well, let me ask you this way Rudi, those 10 systems in backlog, if all of those ship here in the second half, is that enough to get to your EUR 18 million, or you’re going to need more systems above the 10?
Rudi Franz: Including the 10, we definitely need more printers to go. And therefore I said that we have a pretty good lead list, we work through. And we are very confident that over the next several months, we are able to generate the remaining leads and convert them into sales.
Troy Jensen – Piper Jaffray: All right, perfect. Good luck in the second half gentlemen.
Rudi Franz: Thank you.
Operator: Our next question comes from Rob Stone with Cowen and Company. Please proceed with your question.
Rob Stone – Cowen & Co: Good afternoon, gentlemen. I wanted to follow-up a little bit on the book building and ship notion for Systems in the second half with respect to stuff you have planned parts of inventory sub-assemblies, etcetera. In how short period of time can you deliver on new orders? Or another way to put it is, by when this year would you need to book and then still be able to ship Systems to be recognized in 2014?
Rudi Franz: The first week under IFRS and our auditors allows us to show revenues when we have the final acceptance by customers. I would say customers overseas at least we have to have – we have to ship them latest by end October to have an installment for example in Korea or Japan or in India or in the U.S. In Europe, the system latest has to be shipped by mid-November to be on the safe side following installment in the final approvement. We always have – if you’re going to go overseas, you have between four and six weeks on the ship. In some cases, you can fly. So if you fly to Korea, which we did this year already, that can speed up the process, but you have your customer clearance and you have installments. So at least for being on the safe side in Europe, I would say I need four weeks from an order income to a final shipment, and overseas to be on the safe side, I would say between eight and 10 weeks at least.
Rob Stone – Cowen & Co: And with respect to the lead times for you to build and test the systems ahead of the shipment, how quickly can you turnaround an order on the production side?
Rudi Franz: Actually we start building on stock. So we try to have at least from every system we offer, two printers available, which is not by today the case, but it’s within the next week that’s the case. If a system is on stock, it takes us approximately two weeks to prepare it for shipping, means to test it, drive it to the material set, we want to operate it and then prepare it for shipping. And then as said, you have to add the remaining period. We believe that by November, mid-November, it’s very clear whether we achieve our guidance or not, we have good time to go. We are very confident to achieve our goal.
Rob Stone – Cowen & Co: Okay. With respect to the service center expansion, it seems logical that customers are already working with – in Europe, you might have visibility on the increased contribution in the second half as you add capacity. How about with respect to the U.S. service center? I guess you don’t have technically backlog for part services, but what kind of discipline do you have on U.S. service center revenues starting in Q4?
Rudi Franz: As you are aware of, we hired David Tait some months ago. He has started doing marketing already with some other colleagues in the U.S. We’re starting to ship out of Europe if they have customers, which we do now. And they have a lot of pre-marketing done and there is a pretty good lead list in front of us where we directly can ship when the first printer is in place. And as indicated by Ingo, we start early October with shipping the goods pass out. So printers will be moved there, and as said, we’re very confident that we can ship parts and can work with a good backlog at that stage.
Rob Stone – Cowen & Co: So relative to your original plans is your start-up of production on schedule or ahead or a little bit behind from what you were hoping for starting the year?
Rudi Franz: Actually it’s not on schedule. We plan to start shipping July 1. It’s a quarter beyond, but we see a good growth in our European facility, so therefore by today, we don’t see any challenging in achieving our service revenue or our service revenue growth for the quarter [ph].
Rob Stone – Cowen & Co: Okay. And final question with respect to operating expenses. They were running a little bit better than we had expected in the second quarter. What might when we expect in terms of a run rate in the second half particularly as you’re commencing U.S. operations?
Rudi Franz: I think the selling expenses definitely might be higher, just because of huge driver in selling expenses is the distributor fee or the agent fee, which drives it. And as well, we add some more people. Overall the total SG&A and R&D spendings are as stated in the last earnings call, as said they might range in a level between EUR 10 million and EUR 11 million. That’s still the target. Our administrative expenses, they still will grow, because we add some more people in the U.S. facility but not on that level which we did over the last quarters. And our research and development expenses, from our point of view actually they stay on that level. They may increase by some more people, but actually on that level we see quite comfortable. And as said, for the total year, we said we want to be in a range between EUR 10 million and EUR 11 million total SG&A and R&D spending, and we are very good in that line.
Rob Stone – Cowen & Co: Great. Thanks. I’ll jump back in the queue.
Rudi Franz: Thank you.
Operator: Our next question is from Ken Wong with Citigroup. Please proceed with your question.
Ken Wong – Citigroup: Hi guys. So additional capacity has gone live in Europe, and you guys are about to open your U.S. service center. Can you give us an update on your total headcount as it stands currently, and how should we think about where this numbers ends up at the end of the year?
Rudi Franz: The total headcount in our company by today is – by end of June, it was 128. By end September, it’s in the range of 155 to 160, and by end of this year, we expect it to be in the range of between 170 and 190.
Ken Wong – Citigroup: Got you. And then I guess as we think about your headcount ramps, I have been hearing from some of your 3D print peers that given how quickly this industry is growing, it’s getting harder and harder to find quality people. Are you seeing any shortage of strong candidates that you’re looking at?
Rudi Franz: It’s always a challenge to get good people on Board, but today we don’t face any problems. We always get the people we want to – we have a very attractive business model, a very good working environment here in Munich, and people are very interested in joining us. So we see the same in the U.S. in Detroit getting the people we want to get, so we are fine.
Ken Wong – Citigroup: Got you. And then earlier I think, Ingo, talked about evaluating other global facilities. Should we think about – in the past you have talked about Asia, something you guys had on your map. Is this Asia the next one, or do you guys see the need to broaden our European or U.S. facilities first?
Ingo Ederer: For the moment we think that Asia is a very interesting market, specifically China or Japan. So you will see probably one of these areas where we are looking for any kind of action from future.
Ken Wong – Citigroup: Got you. That’s it for me. I’ll pass onto the next.
Operator: Our next question comes from Ananda Baruah with Brean Capital.
Ananda Baruah – Brean Capital: Hi, good morning guys. Thanks for – or good afternoon, but good morning from our end. Thank you for taking the questions. I guess the first one is probably for both of you. What gives you guys the confidence, and you mentioned, I think it was Rudi that you had confidence in being able to drive incremental orders above and beyond the tentative [ph] in the backlog to get to the forecast. It sounds like you’re saying you want to get those orders in by mid-November to be able to deliver them. What gives you the confidence there, and then I have a follow-up. Thanks.
Rudi Franz: As said before, we have a pretty good backlog pipe today. We see good demand. We have a strong lead list, and the feedback from our sales scores is very promising, means we are very confident to collect the remaining orders and ship them by end of 2014 to achieve our goals in respect of Systems revenue. In respect of Service revenue, we’re actually in a very solid economy environment. We see high demand. And as Ingo said, we’re driving the business and services more towards standard business. And as said, we are very confident in achieving this just from what we collect from our sales scores and what we are able been to show in the past.
Ananda Baruah – Brean Capital: Got it, that’s helpful. Thanks. And then a follow-up is, just a little more clarification around the passive technology that Ingo was talking about that allows you to wash out – it sounds like wash out and reuse for different materials. And I believe that you said that you believe its differentiator around being able to do very specialized, but low volume types of jobs. Is that accurate, and just to what extend you view that as being a very significant differentiator going forward? Thanks.
Ingo Ederer: I think our technology enables us to print in very specific materials. And these sample I explained you during the call was one of those specific materials, which you have standard application metal castings, but also potential application, other application outside of the metal casting industry. And I think on these material sets it’s very, very from a technology point very critical I think. And we have here unique position to market such materials ourselves and see no much competition from outside.
Ananda Baruah – Brean Capital: Got it. Okay, thanks a lot guys.
Operator: (Operator Instructions) Our next question comes from Jason North with Jefferies. Please proceed with your question.
Jason North – Jefferies: Hi. I was wondering the ExOne has been some problems with their facility near Detroit with customer traction and then feeling the need to vertically integrate. Do you see that most of your initial demand for your new facilities there would be more on the plastic side versus sand?
Rudi Franz: Do you want Ingo?
Ingo Ederer: Yes. So for the moment, we see interest in those material sets – high interest in those material sets. Of course fact that ExOne is already marketing this materials there. It is, let’s say, relatively nights for us because we can use this effort as well for our productions. However on the plastic side, we see relatively big amount of interest. And for the moment, we have no doubt that we can fill relatively quickly the capacity we will bring over shortly.
Rudi Franz: As well, I’d like to mention that we purely focus on 3D printing. We don’t do any castings directly. We always cooperate with foundry, so we don’t operate on our foundries. And therefore we believe that we have very good opportunities in the U.S. market in the area in supporting customers with sand moulds as well as with plastic positive parts. So for both market segments investment casting and direct casting, we see a very good positive environment for us.
Jason North – Jefferies: Okay. And then looking at your backlog, can you give us some kind of sense of the breakdown there by sector of customer type, and how that compares to your pipeline and then also your service in that business? Thanks.
Rudi Franz: We did not give any guidance in respect of vertical markets. The only thing that I can say that again or repeat again is that the order backlog by today is EUR 5.3 million and its total of 10 printers. We’re focusing, as always, on the automotive industry, heavy equipment, engineering design and as well in customer goods, or I should say in film entertainment, but I would say most of the backlog is focused in automotive, industrial design, heavy equipment.
Jason North – Jefferies: Last question here. You’ve mentioned possibly expanding to China or Japan at some point. Any sense of when the timing of that might be?
Rudi Franz: We said that we plan to start those activities in 2015. We’re already in due diligence talking to relevant people, and we plan to start such an activity in the first half of 2015.
Jason North – Jefferies: Great. Thank you.
Rudi Franz: As a matter, I’d like to say that if we talk about backlog, we don’t talk about backlog for service revenue. The only backlog we talk about is confirmed orders from system customers. There is no – we don’t show backlog for service revenues, but service revenue is a very robust and solid business, and this is not shown in the backlog. I’d just like to clarify that. Backlog which we talk about only refers to printers.
Operator: Ladies and gentlemen, at this time I’d like to turn the floor back over to management for closing comments.
Rudi Franz: Ingo?
Ingo Ederer: Yes. Once again, thank you for your interest in voxeljet. It’s an exciting time to be participating in this dynamic industry, where voxeljet see tremendous growth opportunities and we believe we are well positioned and to achieve long-term growth. Thank you again for your participation in today’s call. Thank you. Goodbye.
Rudi Franz: Thank you. Bye-bye.